Operator: Good morning, ladies and gentlemen, and thank you for standing by. Welcome to the Sunstone Hotel Investors Third Quarter Earnings Call. [Operator Instructions]. I would like to remind everyone that this conference is being recorded today, November 7, 2025, at 11:00 a.m. Eastern Time. I will now turn the presentation over to Mr. Aaron Reyes, Chief Financial Officer. Please go ahead, sir.
Aaron Reyes: Thank you, operator. Before we begin, I would like to remind everyone that this call contains forward-looking statements that are subject to risks and uncertainties, including those described in our filings with the SEC, which could cause actual results to differ materially from those projected. We caution you to consider these factors in evaluating our forward-looking statements. We also note that the commentary on this call will contain non-GAAP financial information, including adjusted EBITDAre, adjusted FFO and hotel adjusted EBITDAre. We are providing this information as a supplement to information prepared in accordance with generally accepted accounting principles. Additional details on our quarterly results have been provided in our earnings release and supplemental, which are available in the Investor Relations section of our website. With us on the call today are Bryan Giglia, Chief Executive Officer; and Robert Springer, President and Chief Investment Officer. After our remarks, the team will be available to answer your questions. With that, I would like to turn the call over to Bryan. Please go ahead.
Bryan Giglia: Thank you, Aaron, and good morning, everyone. Operating results in the third quarter reflected many of the same trends we saw earlier in the year with continued strength in San Francisco, helping to offset a more price-sensitive leisure traveler and subdued government-related demand across other parts of the portfolio. Despite these cross currents and disruption from the fire near our Four Seasons Resort in Napa Valley, our earnings for the quarter were in line with our expectations as stronger ancillary spend and better cost controls offset softer room revenue growth. At our urban hotels, RevPAR growth was generally flat during the quarter with our Marriott Long Beach downtown continuing to deliver outsized growth following our brand conversion last year, which helped to balance a tougher comparison at our JW Marriott New Orleans. As we have noted previously, the New Orleans market was expected to experience some very tough comps after the first quarter, and so while third quarter RevPAR at our hotel declined from last year, the performance was better than expected as the hotel continued to gain market share. Despite effectively flat RevPAR at our urban hotels, we managed to deliver 140 basis points of margin growth as our operators were able to effectively control costs. In fact, Marriott Boston Long Wharf delivered a 47% EBITDA margin in the quarter, an increase of over 100 basis points relative to the prior year, a very solid performance for an urban full-service hotel, especially considering recent cost pressures. Our convention hotels turned in better-than-expected performance with RevPAR growth of 3.5% on generally healthy trends in group business. San Francisco was once again a standout performer with more than 15% RevPAR growth, and we continue to be encouraged by how the market and our hotel are setting up for additional growth into next year. In Washington, D.C., performance across the market continued to be hampered by weaker government and government-related demand, although results at our recently converted Westin were consistent with our most recent expectations. In San Antonio, we were renovating our meeting space during the quarter, which caused some disruption, but that work is now complete and should position us for growth in 2026. Across the portfolio, we had solid production in the third quarter, booking 6% more rooms than the prior year and posting our strongest third quarter booking volume since prior to the pandemic. We have positive group pace as we head into 2026 with particular strength in Orlando, Boston, Miami, San Francisco and Wine Country. Performance across our resort portfolio was softer than expected as a weaker demand environment in South Florida and the Keys added to what has been a more challenging market this year in Maui. I think we are beginning to round the corner in Maui as September marked the first month of positive RevPAR growth for our resort this year and October is also positive and slightly better than expected. In Wine Country, we continue to be encouraged by a better demand backdrop this year, although Q3 was expected to be our toughest comp quarter of the year, and we also experienced headwinds at the Four Seasons from the Pickett Fire in Napa County in late August and early September. While the fire was not close enough to cause any physical damage to the resort, we did experience cancellations and overall lower business volumes in the weeks after. At Andaz Miami Beach, overall profitability in the third quarter was consistent with the range we shared with you last quarter. We continue to see an acceleration in our booking patterns and are pacing well to deliver strong growth next year. Occupancy continues to build, and we are well positioned with meaningful group bookings in the first quarter of 2026, the most important quarter for profitability. Robert will share some additional details on our progress at the resort shortly. While the operating environment remains choppy and additional uncertainty has been introduced from the government shutdown, based on what we see today, we are maintaining our outlook for the year and are continuing to work with our operators to drive incremental revenue and control costs. We are working through our budgeting for 2026, and while that process is just beginning, we see reasons to be optimistic that we will benefit from our recent investments and be able to deliver above-market growth next year. We will have more details to share with you on our next call. With that, I'd like to turn the call over to Robert to give some additional details on our progress in Miami and our capital investment activity.
Robert Springer: Thanks, Bryan. It's been a productive few months for us on the operations and investment front. We continue to make headway at Andaz Miami Beach. Guest response and lead volume at the renovated resort continues to be positive. The resort is currently #8 on TripAdvisor for Miami Beach Hotels, a significant improvement over where we were 90 days ago. As we shared with you last quarter, we need to book approximately 1,000 transient room nights per week in order to achieve our desired occupancy goals. I'm happy to report that we have recently been pacing ahead of that number as we continue to build momentum post opening. We are pleased with our business on the books for early 2026, which should support a solid first quarter of next year. Additionally, a constructive event calendar next year, including the College Football National Championship in January and the World Cup in the middle part of the year should help add further compression. While we got off to a choppy start this year, we look forward to meaningful earnings growth next year and into 2027. On the capital front, we completed a renovation of the meeting space in San Antonio on schedule and on budget. This investment should allow the hotel to better sell group business, and we will begin to see the benefits of that next year. In San Diego, we are just about to begin a renovation of the meeting space at our Hilton Bayfront. This hotel is consistently ranked as the top-performing large group hotel in the market and a refresh of the meeting space will ensure it is able to maintain its competitive positioning. We will complete this work in phases to minimize disruption. Separate from these projects, we are continuing to work through the planning and budgeting process for our capital investments for next year, and we'll have more to share with you next quarter. The transaction market continues to be quiet, although we are seeing some incremental signs of life. While the debt financing markets remain open and conducive to transaction activity, a more tepid buy side has left some would-be sellers opting to refinance. Despite this more subdued backdrop, we continue to seek out opportunities where we can drive growth and create value through accretive transaction activity. With that, I'll turn it over to Aaron. Please go ahead.
Aaron Reyes: Thanks, Robert. As we noted at the top of the call, our earnings results for the third quarter were generally in line with our prior expectations, even with the disruption we experienced at Four Seasons Napa Valley, which created a 50 basis point drag on RevPAR growth and a $1 million headwind to earnings. Stronger ancillary spend and ongoing efforts to contain costs helped to mitigate margin pressure. Overall, third quarter RevPAR increased 2% compared to last year and total RevPAR grew 2.4%. Adjusted EBITDAre in the third quarter was $50 million, and adjusted FFO was $0.17 per diluted share. We have been working with our operators to reduce costs wherever possible and are seeing the benefits of this in our results. Through the first 9 months of the year, our comparable portfolio total RevPAR growth has been 2.3%, and we have been able to hold margins to within 20 basis points of where they were in the prior year. This means that we have been able to contain our expense growth more effectively than expected at the start of the year. We continue to benefit from a strong balance sheet with net leverage of only 3.5x trailing earnings or 4.8x, including our preferred equity. As of the end of the quarter, we had nearly $200 million of total cash and cash equivalents, including our restricted cash. Together with full capacity available on our credit facility, this equates to $700 million of total liquidity. As previously disclosed, we completed an amendment and restatement of our bank debt in the third quarter, which extended our average maturity by 3 years and lowered our overall borrowing costs. We will be utilizing a portion of the proceeds from one of our newly amended term loans on a delayed draw basis to repay our Series A senior notes at their scheduled maturity in January 2026. After which, we will not have any debt maturities until 2028. We have a very strong bank group, and we appreciate their ongoing support and partnership as part of our recent recast. While the operating environment remains challenging and the government shutdown has added to already heightened uncertainty, we are maintaining our full-year earnings outlook. Based on what we see today, we expect that stronger out-of-room spend will help make up for more moderate rooms RevPAR growth that is likely to be in the lower half of our existing range and allow us to generate EBITDA and FFO that is at or near the midpoint. Note that this reflects actual activity so far in the quarter and current trends as we sit today, but these estimates could be negatively impacted if the government shutdown or its lingering effects cause additional disruption to travel and hotel demand. The fourth quarter is projected to be our strongest RevPAR growth quarter of the year, with total portfolio RevPAR growth expected to be in the mid-single-digit range with Andaz Miami Beach contributing 400 basis points to 500 basis points. As a point of reference, our prior year fourth quarter RevPAR for the current portfolio, including and excluding Andaz, was $201 and $209, respectively, and for the prior full-year, it was $217 and $225. Now shifting to our return of capital. We have repurchased a modest amount of stock so far in the fourth quarter, and our current year-to-date total stands at 11.4 million shares at an average price of $8.83 per share for a total deployment of $101 million. This repurchase activity has been accretive to both NAV and earnings per share. While we retain capacity for additional share repurchases, our projections do not assume the benefit of additional buyback activity. Separate from our share repurchases, our Board of Directors has authorized a $0.09 per share common dividend for the fourth quarter and has also declared the routine distributions for our Series G, H and I preferred securities. Before we conclude our prepared remarks, I'd like to turn it back over to Bryan to share some additional thoughts.
Bryan Giglia: Thanks, Aaron. We will open it to questions shortly. But first, I want to address investor feedback related to the letter Tarsadia sent to our Board and recent market speculation and misconceptions. While as a matter of policy, we do not comment on rumors, we also believe in corporate transparency and healthy dialogue with our shareholders. In March 2022, upon my appointment as CEO, the Board provided a straightforward mandate, close the valuation discount, improve absolute and relative total shareholder returns and drive growth in NAV per share. It was my view that generating superior returns from the ownership of hotel and resort real estate requires more purposeful asset recycling in order to capture the value created through capital investment, repositioning and asset management before it is eroded by an extended hold period and incremental defensive capital spend. I still believe this to be true. That said, the last few years have been a challenging time for lodging transactions, and our pace has been slower than what we would have liked. However, even despite a depressed transaction market, we were still one of the most active in this space, disposing of lower quality, lower growth assets and using proceeds to acquire better real estate, including the remaining interest in one of the premier group hotels in San Diego, prime beachfront land in Miami with meaningful long-term growth potential and a solid hotel in San Antonio with a fantastic location and an attractive yield. In total, we sold over $600 million of assets and acquired roughly $600 million of assets and recycled more capital than our peers on a relative basis. In addition, we have repurchased nearly $300 million of stock or 14% of our outstanding shares at a significant discount to NAV, generating meaningful value for our shareholders. During this time period, we remain nimble, allowing us to take advantage of market conditions and effectively allocating capital through dispositions, acquisitions, investment in our portfolio and share repurchases. Despite these accretive allocations of capital, the last several years have been a challenging time for the lodging REIT sector and the group's total return performance has been disappointing. The Board and management remain committed to taking every step possible to maximize value for shareholders and are open to any alternative that would reasonably be expected to result in value creation, which is why we have, from time-to-time, formally engaged with parties who have expressed an interest in acquiring subsets of our portfolio or the entire company. This is evidenced by what was speculated in the press last year, but despite management and the Board going to great lengths to work with one of those parties to accommodate a sale of the company, they were not able to raise the equity capital needed to complete a transaction, and so there was no deal to do in the end and contrary to what you may have read, no offer to accept or reject. It seems almost an obligatory response in the face of rumored deal speculation to default assumptions of management and Board entrenchment. I would encourage you to consider the facts I have shared with you. The actions we have taken in the year since my appointment as CEO have been consistent with preserving full strategic optionality and prioritizing the interest of shareholders. We have been deliberate in the construction of an exceptional portfolio, encumbrance-free balance sheet and shareholder-friendly governance. We have not done anything that would diminish the value or likelihood of realizing the company's value through a potential sale and in fact, have done the opposite and endeavored to engage in conversations related to a transaction when the Board believed they had an opportunity to better realize value for shareholders. Where does that leave us today? We continue to execute our strategy and are working to recycle more assets. The transaction market remains depressed and equity capital, especially for larger deals, remains tight. We regularly meet with financial and other advisers to discuss market conditions and potential alternatives available to the company. Our directors, most of whom have significant transactional experience, an important attribute that was considered as part of their election to the Board, provide management with guidance and support on evaluating and executing transactions to maximize value to shareholders. As we have done in the past, the Board has and will continue to engage with credible and capitalized counterparties for the company. We have a great portfolio with meaningful embedded growth, and we have a well-informed and realistic view of the market and the value of our portfolio today and what we expect it to be in the future. At the same time, we also understand the lack of depth and liquidity in the current transaction environment. We are also well aware that market conditions can change quickly, so we will remain nimble and ready to pursue any alternative that will create value for our shareholders. As evidenced by our excellent governance ratings, we take the fiduciary responsibility that we have been entrusted with seriously and are committed to finding the most expedited path to realizing the value of our portfolio. With that, we can now open the call to questions. Operator, please go ahead.
Operator: [Operator Instructions] Your first question comes from the line of Duane Pfennigwerth with Evercore ISI.
Peter Laskey: This is Peter on for Duane. Could you just go back to the -- your thoughts on 4Q for us real quickly and tease that out the mid-single-digit total RevPAR range. How has that changed over the last 90 days? It would be helpful to maybe hear your thoughts on if we separate out Miami and San Diego, what's embedded for the rest of the portfolio?
Aaron Reyes: Sure, Peter. Thank for the question. This is Aaron. I'll take the first part of that. Q4, even from the start of the year was always expected to be our strongest quarter from a RevPAR growth perspective. As you noted, we expected top line to grow in the mid-single-digit range. The underlying drivers are really obviously a meaningful contribution from Andaz Miami Beach, which as we noted at the midpoint accounts for about 450 basis points of the growth. The growth is really broad-based, right? We're seeing strong performance in Wine Country. Orlando is expected to have a good quarter. Then as Bryan noted in the prepared remarks, Wile is starting to turn a corner and be a contributor there. Then we'll see some contribution from Bayfront as well given the lapping of the labor activity from last year, which is helping to balance out what we expected to be some softer growth markets all along in New Orleans, just given the calendar and the activity that happened last year and then D.C., just given some of the headwinds from the current environment that we're seeing now. All-in, when you take that together, we were focused, as we noted, on the midpoint of our EBITDA and FFO range, which would result in about EBITDA in the low $50 million area.
Peter Laskey: Then, Bryan, thank you for the extensive detail about the transaction markets. A question for you or for Robert would be just how do you think that changes in 2026? What could be the catalyst from here? In case there are further dispositions within the portfolio, do you see opportunities on the acquisition side?
Bryan Giglia: Yes. I mean, look, I think when we look at, compared to last quarter as going back a quarter before that, I think the transaction market continues to slightly improve. I think that we have started to see maybe a little bit more rationalization in pricing. It's still not robust. Especially not for larger assets. As we look into '26, I think that the expectation is that things will continue to improve. The debt markets are absolutely there and supportive of deals of all sizes, obviously, more for cash flowing assets, it makes it easier to get the debt amounts for that. I think really, when you look at the outlook for '26 right now, it's not overly inspiring. I think what we'll need to move things forward will be a slightly more positive outlook or additional adjustment in pricing expectations to be able to account for what will be a modest growth year.
Operator: Your next question comes from the line of Cooper Clark with Wells Fargo.
Cooper Clark: I guess just sort of sticking on the transaction market front. I'm just curious if you're seeing any large buyers willing to acquire and scale and if it's a bid-ask spread issue or there just isn't capital demand for the sector? If there is any disposition pipeline you could speak to either on a single asset or a larger piece of your portfolio?
Bryan Giglia: On the disposition front, I mean, we have -- despite a more challenging transaction market, we have and will continue to look to recycle assets. Especially for our size, we've been extremely active over the last few years and been able to exit hotels where we thought the growth was lower or there was capital that was needed and those transactions were done at attractive cap rates and have been able to redeploy that into various different sources, including Beachfront in Miami, which we had a major repositioning, a more stable but still fantastic located asset in San Antonio and then being able to pivot very quickly to repurchase shares, which we have over the last several years of over 14% of our float. We will look to continue to do that. It works. The current market is more supportive of assets on the smaller side. I think when you get into scale above a couple of hundred million dollars, I think the buyer pool is more limited. I think really what will change that is as the forward outlook improves at whatever point that is, as we have seen over time, you'll see capital quickly come back into the space.
Cooper Clark: Then I guess just switching over to the Andaz. Just curious, any thoughts about how we should be thinking about the EBITDA ramp into '26. Do you think that lower end of $12 million to $16 million is achievable next year with stabilization in '27 in the high teens to low 20 range?
Bryan Giglia: Yes. I think the next year outlook is definitely achievable within that range. Q3 ended where we were expecting it to. Q4 is ramping up well, and we're getting to that December high 60%, 70% occupancy. Our transient bookings have accelerated. We talked about last call that we needed roughly 1,000 transient rooms booked a week, and we are right around that in several weeks well above that. While the market has softened a little bit, the rate in the market and the rate for our comp set is still well above where we underwrote. We are seeing very strong bookings going into 2026, mainly Q1. The city has a good setup for next year. National Championship game, FIFA, F1. Not only do we have a ramping resort, we have good business on the books in Q1, and we have a strong market. Remember that Q1 makes up a large portion of the profitability for the entire year.
Operator: Your next question comes from the line of Smedes Rose with Citi.
Bennett Rose: Bryan, you mentioned in your opening remarks some group strength. You kind of called out 4 markets there. I'm just wondering, can you talk about just overall pace for group that you're seeing for your portfolio for '26? I guess, what percent of rooms sort of on the books at this point for next year?
Bryan Giglia: Yes. We'll cross over the year at roughly right around 80% of the room nights on the books, which is relative -- basically consistent with the prior year, too. Crossover, we're on track there. Especially in Q3, we saw really good group production. Now that is for current year '26, '27, '28. We've actually seen a lot of corporate demand going into '27 and '28, and that tells us they're trying to secure the prime gates at this point. When we look at pace, overall pace is up low mid-single digit for next year. The hotels and resorts that are strongest for us, Andaz, San Francisco, the Bay Area and Wine Country all have very strong pace for next year. Orlando had a phenomenal booking quarter in the third quarter, has a very strong pace as does Long Wharf, which is a hotel that we -- about 2 years ago started. It had always been a wonderful transient hotel, but started to be more strategic in where we are placing group business, which has allowed us to not only grow occupancy on shoulder periods, but also compress transient rate during that time -- during periods where we have -- we placed group. Then also with San Antonio next year, you have a market -- market is a little stronger, and we're coming off of renovation of the meeting space, which was completed in Q3.
Operator: Your next question comes from the line of Michael Bellisario with Baird.
Michael Bellisario: Bryan, thanks for all those comments at the end that color was helpful. First question, just you guys didn't buy back much stock in the quarter. Sort of one, why was that? Were you restricted at all that would have precluded you from repurchasing stock?
Bryan Giglia: We were not restricted at all. When we look at share repurchase, we look to match fund a lot. Sometimes it depends on when we have transactions happening. Now when we sold New Orleans, we did acquire more, and so there is a piece of it that is more price sensitive. When we believe that we have an adequate discount to NAV, that is always a good capital allocation option for us. We also weigh liquidity and other factors, and so if you looked over the last few years, you've seen some sort of -- you'll see ups and downs in the velocity and volume of repurchase. I think it's been over that time period, generally pretty consistent and about 14% of our overall float. Quarter-to-quarter, it's going to vary, but I think we -- as far as having it as an allocation tool, it's been one that we've used consistently.
Michael Bellisario: Then just switching gears, can we dig into Wailea a little bit more about what you saw performance-wise, September, October, how those actualized versus expectations? Then what you're seeing in terms of pace into year-end, especially for the holiday period? That would be helpful.
Bryan Giglia: As we talked on the last call, because of our positioning in the market, we knew that we were going to lag Kā'anapali and lag some of the luxury in Wailea also. A good sign, and I think we've heard in other company peer reports is that there's been great growth in Kā’anapali. We believe Kā’anapali is just about stabilizing at in the 60% to 70% occupancy, so that's a very positive sign for us. Some of the luxury in Wailea, although some of it was -- is comping off a displacement is also doing -- is also improving. We saw that in -- starting in September and into October, where our RevPAR turned positive. As the market grew, we're now able to grow back into our place. Our index over that time period has also improved from the mid-90s RevPAR index to it should be stabilized around 110. We're working our way back up there and into the low 100s now. We had a great group booking or we had very strong group bookings in the quarter. Our Q4 group is very solid and up significantly. When we look into the festive time period, our revenue is in line with prior year. I think everything that we were hoping to see, we have seen and we're continuing to see now, and so as we look into next year, we'll get the full advantage of our newly renovated product. We're having great booking trends right now, and we will continue to regain our transient share.
Operator: Your next question comes from the line of Chris Woronka with Deutsche Bank.
Chris Woronka: I think, Bryan, again, helpful commentary. I had a question on Wailea. Not really talking about selling the company, but I think there's always been a perspective that there's a big value-add opportunity at that asset. I'm confident you guys have looked at all the options many times over. Can you maybe just give us an update on what is -- what your current perspective there is in terms of what value might be extracting longer term?
Bryan Giglia: Yes. I mean, our perspective is that Wailea is a premier, if not the premier luxury beachfront resort in the U.S. I mean, it's a phenomenal location. It is an irreplaceable stretch of beach. It has the Maui market taken some time to recover a little bit? Yes. We're seeing all the positive signs and seeing groups and leisure travelers come back to that market. Long term, it's phenomenal. We have talked over time about having some additional future development opportunities there. One thing about beachfront resorts is that development takes a while, and so while the market has had its -- has had a little bit of an up and down time period right now, we still work through that process and are far along in it, but still have a ways to go to be able to secure the ability to add additional keys to the resort. Our belief is by the time we finish that, which is probably another year plus, the market will be where it needs to be, and then we'll be able to evaluate the returns on that. A little far out, the important thing is that we have a phenomenal piece of land in an irreplaceable market, and we will have the ability at some point in the future to add to that if it makes sense, and we'll address that and talk returns in that once we get to that point. We're working on it, and we're well along in the process, and we're still ways to go, though.
Chris Woronka: Just a quick follow-up on Orlando on the Renaissance. understanding you said next year, there's a lot of positive momentum there. Can you just remind us when the franchise or management contract is up there and whether you have thought about making changes when that happens?
Bryan Giglia: It's subject to a long-term agreement with Marriott. We've had other hotels that are subject to long-term agreements with Marriott. When we can figure out something that works for both of us, we won't keep us from reevaluating brands or as we've done in Long Beach in D.C. We're really excited about the pace going into next year and the bookings that the hotel has been able to do. We'll evaluate any opportunities, whether it be through renovation or any repositioning in the future. Right now, we're really excited about what's on the books for next year.
Operator: Your next question comes from the line of Dan Politzer with JPMorgan.
Daniel Politzer: First, it sounds like there's a lot of the CapEx stuff has been winding down, but there's still a good amount going on. Is there any way kind of broad strokes just to better frame how we should be thinking about CapEx on a go-forward basis in the coming years?
Bryan Giglia: I think as we get into next year, it's definitely going to tail off from the heightened amount this year. That said, we'll always have some form of a cyclical rooms renovation, meeting space renovation at various usually 1 or 2 hotels throughout the portfolio. As far as our bigger hotels go, we don't have any of that next year, but as we get into -- we're doing meeting space in San Diego that's starting in the fourth quarter. That will go into the first quarter a little bit, but we're kind of strategic in how we're layering that and placing it. I would expect it to normalize a bit down. Then depending on in out years, what hotel is coming up for renovation, it will adjust accordingly. I think going forward, somewhere in the 80-ish range is the standard amount that accounts for these cyclical renovations.
Daniel Politzer: Then just in terms of the remarks, which were helpful in addressing some of those concerns that are out there. I think you noted that you would pursue any alternative that could create value for shareholders, which is obviously the right thing to say. I don't know what are -- are there options that you view as most viable versus any that are complete non-starters or off the table?
Bryan Giglia: No, I don't think. I think when the Board evaluates these options and when you look at the space and given the persistent discounts to NAV that lodging REITs trade at, any Board, Sunstone or other would not really be upholding their fiduciary duty if they weren't considering options to somehow realize a value at or close to NAV, and so I think because of that, it's a -- and maybe it's just a little bit more specific to this space, but it really is like -- it's just an ongoing process that's good governance that on a -- it's not really even on an episodic basis. It's on a quarterly basis, Board -- or at least our Board works with our advisers to understand value, to understand liquidity in the market. We'll then use that to evaluate what is available now, what transactions are available today and what is our expectation for future value, and that's the basis to decide how to realize value for shareholders.
Operator: Your next question comes from the line of Kenneth Billingsley with Compass Point.
Kenneth Billingsley: I wanted to ask about the -- you made a couple of comments about ancillary spending being stronger. Looking at the other line item for revenue, that was up pretty strong. My question is, what are you including in there? What is the increase? Is the expense -- are you able to control the expenses on that better where a lot of that flows to the bottom line?
Aaron Reyes: Ken, it's Aaron. I'll address that. Certainly, we have seen as the year has went on, that our out-of-room revenue growth has outpaced that, that we've derived from revenues, and that has just been part and parcel with just the strength that we've seen in the group business, where whether it's banquet, AV, F&B has been -- has come in stronger and frankly, has helped to offset from a total revenue RevPAR growth perspective, a bit of the softness that we saw on the RevPAR side. That's been good to see. We anticipate for a full-year basis that total RevPAR actually exceeds RevPAR growth by 50 to 75 basis points. Good solid trend there. Then on the other income line, that will grab all of our -- whether it is destination and resort fees, our spa, our parking, etc., that will all come in there, which has just been a source of strength this year, particularly as we've seen better growth in our luxury resorts in the wine country.
Bryan Giglia: It really speaks to the strength that we've seen when you look at the different group components. The corporate group for us, which is a lot of the -- what our hotels will cater to remains strong. The out-of-room spend continues to pace at levels up to last year and significantly up to 2019, and so when you look at the composition of our group, our group, less government, less association, those tend to be a little bit more price sensitive, and we continue to see strong performance from the corporate group.
Kenneth Billingsley: Then the other question I had is G&A as a percent of revenues was lower as a percentage. Anything particular in the quarter? Or is this something to extrapolate going forward?
Aaron Reyes: Yes. G&A for the quarter, it gets a bit lumpy as you look at it just among the 4 quarters of the year. From a full-year perspective, our guidance is $20 million to $21 million. That's a bit higher than where we were last year just based on where the comp formulas came out for 2024. If you look back and compare that to where -- and it's effectively where we were at 2019, so from a long-term growth perspective, that feels pretty darn good to us given what we all know of inflationary pressures over the last few years.
Operator: That concludes our question-and-answer session. I will now turn the conference back over to Bryan Giglia for closing comments.
Bryan Giglia: Thank you, everyone, for the interest in the company, and we look forward to meeting with many of you at upcoming conferences. Thank you.
Operator: Ladies and gentlemen, this does conclude today's conference call. Thank you for your participation, and you may now disconnect.